Operator: Good afternoon. My name is Julianne, and I will be your operator today. [Operator Instructions] 
 At this time, I would like to turn the call over to Tracy Robinson, CN's President and Chief Executive Officer. Ladies and gentlemen, Ms. Robinson. 
Tracy Robinson: Thank you, Julianne, and good afternoon, everyone. We're here in Memphis today. We've had our Board meetings over the past 2 days and have had an opportunity to spend some time visiting our local facilities. Now we did a prerecording of our prepared remarks over the weekend. But before we play those remarks, we received some very sad news today about the loss of one of our engineering employees. 
 Early this morning, there was a motor vehicle accident in British Columbia. A semi-truck collided with the CN engineering vehicle with 2 employees on board. We are deeply saddened that one of our CN family, [indiscernible] suffered fatal injuries as a result of the accident and died at the scene. The other employee traveling in the truck was taken to the hospital with critical injuries. I understand he's now in critical, but stable condition. Our prayers are with him and his family. 
 The second group of CN employees was traveling behind the first vehicle was the first on the scene to respond. They showed a tremendous courage and compassion in a critical situation, a very tragic and painful loss for all of us at CN and our hearts go out to [indiscernible] family.  
 Before we move on to the business today, I want to remind all CN employees and everyone listening in today to take care of yourself and those around you, stay safe. So operator, could you please start the prerecording with Stacy Alderson, our Head of Investor Relations. 
Stacy Alderson: [Foreign Language] Good afternoon, everyone, and thank you for joining us on CN's First Quarter 2024 Financial and Operating Results Conference Call. 
 Before we begin, I'd like to draw your attention to the forward-looking statements and additional legal information available at the beginning of the presentation. As a reminder, today's conference call contains certain projections and other forward-looking statements within the meaning of the U.S. and Canadian securities laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. They are more fully described in our cautionary statement regarding forward-looking statements in our presentation.
 After the prepared remarks, we will conduct a Q&A session. I would ask that you please limit yourself to 1 question. The IR team will be available after the call for any follow-up questions. 
 Now joining us on the call today are Tracy Robinson, our President and CEO; Pat Whitehead, our Chief Network Operations Officer; Derek Taylor, our Chief Field Operations Officer; Doug MacDonald, our Chief Marketing Officer; and Ghislain Houle, our Chief Financial Officer.  
 It is now my pleasure to turn the call over to CN's President and Chief Executive Officer, Tracy Robinson. 
Tracy Robinson: [Foreign Language] Thanks, everyone, for joining our call today. Q1 was a solid quarter. It played out as we expected and has set us up well for the growth that we see ahead of us. 
 I'd like to start today with a few words related to last week's press release on Remi and Doug's transition. And firstly, I want to thank Doug not only for his many years of service to CN, but especially for his leadership and his wisdom over the last 2 years. You've done a great job, Doug. 
 The recrafting of our book of business as we move back to the scheduled operating model and setting the commercial team up for continued success, and I want to personally wish you health and happiness in your retirement. 
 And we've been intentional about Remi's transition, starting with some pretty intense field exposure since he joined in January, followed by a deep dive into the commercial organization. He's a great fit with our team, and he's going to bring a new perspective to his Chief Commercial Officer role, especially having been in a customer's shoes. He's in the room with us today, but he's not miked up. He'll be in the seat next quarter and spending some time with the investment community in the coming months.  
 Now before we get into the details of the quarter, I know that TCRC negotiations in Canada have been on the minds of our customers and our employees and some other stakeholders. And I want to provide a little context to what's happening. 
 Now it's important to us that we have an agreement that ensures the availability of our crews to run trains on time, in support of our customer service commitments and to support the growth of the industries we serve. It's also important that we can offer to our employees a predictable schedule with guaranteed days off that supports safe operations and allows them to plan and to live their lives. And that improves the attractiveness of our work as we engage the next generation of conductors and engineers.
 Now the introduction of the new Canadian duty and rest rules last year stacked on top of the provisions already in our collective agreements, has had a negative impact, both on the availability of crews to run trains and on scheduling for our people. So in this round of bargaining, we're endeavoring to improve the predictability of when our train crews will work and when they'll be off. It's an important part of improving safety, providing more predictability to employees on when they'll work, giving them better work-life balance and improving crew availability to support a consistent service for our customers and supporting the growth of the Canadian economy.
 We have this kind of agreement in the U.S., so we know how effective it is. We're continuing our constructive discussions with the TCRC leadership, and we remain focused on reaching a negotiated agreement.
 Now economically, there will be benefits for both of us. I hope that gives you a good sense of where we're at.
 Turning now to the quarter. As I said, it has come in as we expected. And safety continues to be an area of intense focus. Pat's going to speak to our performance on the quarter here. We are committed to improving our safety performance and advancing towards our goal of zero harm. 
 On the operations, velocity and speed were solid this quarter despite some colder temperatures in Western Canada this year, some congestion in Vancouver and a dip in crew availability related to the new Canadian regulations. I can tell you, I'm proud of how we've performed and how we've adapted to the plan to align with what's coming at us. Customer service remains a top priority, and I want to call out local service commitment performance.  
 Now this is a key customer-facing metric. And at 92%, it improved 6% versus last year. Volumes are firming up. We're seeing momentum building. Doug will speak to end market performance and the outlook for the balance of the year, including updates on our CN-specific initiatives. These projects are lining up quite nicely, giving us increasing confidence in our volume outlook. And as we know, we're up against a very strong performance last year, which included $0.10 of favorable fuel surcharge lag. So I'm pleased with our solid EPS of $1.72. This is right where we thought we'd be after 3 months. 
 I'll leave it to Ghislain to walk us through the first quarter financial highlights in just a few minutes. 
 But we are right where we want to be. The team is gelling, the operation is performing and volumes are on the upswing. Putting it all together, I'm very happy with the direction we're headed and want to reaffirm the guidance we issued in January. I'll now hand it over to the team. Pat, you're up. 
Patrick Whitehead: [Foreign Language] Injury and accident rates increased in Q1, despite our best efforts, intense winter weather poses increased safety exposures. We have seen improvement in April and are now tracking in line year-to-date with CN's lowest ever frequency ratio in 2023. 
 One area I want to highlight in our safety performance is slips, trips and falls, which increased in the quarter. So what are we doing about it? We're addressing slips, trips and falls with several actions. The first I'll cover is our recently deployed walking simulators at our training centers. We've seen 30% fewer walking injuries with employees who have been trained with this tool. We're going to be deploying a mobile version of this simulator out to our workforce in the field. 
 We've also rolled out our [ Enable on Go ] app to the entire workforce, which is our hazard and near-miss reporting system. We've received and corrected over 3,300 hazards utilizing this system since its deployment in 2023. 
 Now before I discuss the network, I want to address some of the comments that have been made recently regarding CN removing safety critical rest in our current negotiations with TCRC. This is just not true. To be very clear, we successfully implemented the duty and rest period rules that were mandated in Canada in May of 2023 and have been in full compliance with these rules. We have managed operations accordingly.
 What we are doing is working to simplify the complexity of the stacking effect we experienced beginning in 2023 of the additional paid sick and personal leave days under the Canada labor code, the duty and rest period rules and the unavailable time provided by the legacy collective marketing agreement. We are fully committed to providing sufficient rest for our employees, and we will continue to work with our union partners to find solutions that benefit our employees and our customers.
 Now turning to the network. We remained largely fluid this quarter despite more impactful winter weather this year. While our scheduled operation gives us improved resiliency, we were challenged in certain pockets as the newly mandated work rest rules impacted labor availability. As for volume, we are currently seeing what we believe is a sustained increase in demand for intermodal volumes on the West Coast, which has increased existing train size to the point that we have added a combined additional 8 trains per week out of Vancouver and Prince Rupert in April.  
 To support the growth we see coming our way, we will continue to invest in network capacity in key corridors, what we call no regret capital. In 2024, we are on track to complete additional double track along our Vancouver to Chicago corridor, and we will finish a siding extension project, west of Kamloops, British Columbia. This will increase our capacity in this busy corridor and help alleviate some of the congestion we see from time to time in and out of Vancouver.  
 I'll now ask Derek to speak about field execution in the first quarter. 
Derek Taylor: Thanks, Pat, and good afternoon, everyone. Time and again, we've seen that or make the plan, run the plan, sell the plan model is the right one for our network. As you heard from Pat, Q1 had a number of ups and downs. January brought an extended cold snap in Western Canada that we recovered from in short order. Interestingly, in February, we had some ideal operating conditions and demand started to pick up. Then in March, Mother Nature reminded us that winter wasn't over yet on the northern part of our network. 
 During that March time period, we also had a combination of continued strengthening demand, along with the beginning of work block season, particularly in the Edmonton to Vancouver corridor. In fact, daily train counts in that corridor are now approaching our 2018, 2019 high watermark years. 
 These work blocks are critical for us to comply with and complete as they will support growth and fluidity going forward. However, they did cause some additional pressure in and out of Vancouver gateway. Importantly, we've kept our yards fluid, which has enabled us to maintain a high level of service for our customers. In fact, our local Service Commitment Performance or LSCP, improved 6% versus last year to 92% for the quarter. 
 Running the plan as the team is focused, and I'm really pleased that a few weeks into April, speed and velocity are back in line where we need them to be. We've got good operational momentum. So as volumes continue to ramp up through the year, we expect to deliver incremental operating leverage particularly in terms of our manifest trains, which have room for growth at low incremental cost. 
 To wrap it up, I'm convinced that continued strong alignment between the operations, marketing, and finance teams is key for us to grow profitably. This is a team effort. We're making sure there's tight coordination across the entire organization so that we have the capacity and service in place to keep delivering for our customers.  
 Now I will turn it over to Doug. 
Doug MacDonald: And thanks, Tracy, for the kind words. I've been fortunate to spend my entire career at CN and has been a gratifying 35-year journey. I am thankful to all of you around the table as well as the many others in and outside of CN for their support and help. I leave knowing that the team is well set up for the future.
 Looking at Slide 11, first quarter revenues were down 1% versus last year due to lower applicable fuel surcharge. We had solid pricing ahead of CN's cost of inflation. RTMs, our standard measure of volume were flat in the quarter as higher shipments of potash, refined petroleum products, frac sand, international intermodal and natural gas liquids were offset by lower shipments of coal, grain, forest products and crude oil.  
 Petroleum and chemicals led the way in Q1 at 6% RTM growth, with record volumes in refined products and natural gas liquids. Q1 crude volumes were down year-over-year, but we expect them to move higher sequentially for the rest of 2024 from new business to the Gulf Coast. 
 Our strategic investments in Northeast BC are paying off with stronger frac sand volumes, which drove a 4% increase in metals and minerals RTMs in Q1. Aluminum volumes also increased in the quarter due to market share gains from truck given our consistent car supply and service. We also had new raw lithium interline shipments with the UP to Texas for battery production.
 Forest products RTMs decreased 5% in the quarter but center beam orders for lumber have increased sequentially since Q4 last year. Our bus car fleet remains nearly sold out, indicating solid demand in multiple segments. 
 In the bulk sector, Canadian coal was down 20% from production problems at several mines, while U.S. coal was down 23% from softer export demand for thermal coal. Grain and fertilizer RTMs were flat overall as strong potash growth in Q1 fully offset softer grain volumes.
 Canadian grain demand was strong all quarter. We moved record grain tonnage in February, and there's pent-up demand heading into Q2. U.S. corn volumes decreased versus last year due to muted domestic and export demand. Automotive RTMs were up 6% on stronger Vancouver imports despite a slow start in Q1 from delayed new product launches. All plants are running normally now.
 Turning to intermodal. International was up 5% for the quarter, continuing the steady upward trend we've seen since Q4. Import RTMs via the ports of Vancouver and Prince Rupert are up 12% as U.S. destined traffic returned after last summer's West Coast Canada strike. Port of Halifax volume was down due to Red Sea impacts. In Q1, we lapped the remaining comparable container storage revenues, roughly a $35 million impact this quarter, which negatively impacted revenue per RTM. Domestic volume was down 3% on ample truck capacity.
 Let's move to the outlook on Slide 12. The North American economy continues to be supportive. International intermodal continues to strengthen with strong service and dwell times at our ports. The can export development at Rupert is well underway as well as land clearing for the Ridley Island energy export facility. We are also expecting to see a gradual recovery in the domestic intermodal markets as capacity exits the over-the-road segment. Automotive demand remains strong with some OEMs pushing back the time line for retooling their plants for EV production.
 In bulk, Canadian met coal mines should return to full production. In addition, Conuma's Quintette mine will start this summer, and the new Valerie mine is delayed until 2025 due to permitting. U.S. export thermal coal volumes will be challenged with low global demand and a surplus of natural gas. 
 In terms of grain, we expect more oil and meal production from new and expanding crush plants on CN in the second half. Our IANR acquisition, which remains subject to SCB approval, will create further volume growth for U.S. grain.  
 Potash demand remains firm, but we expect lower volume in the balance of 2024 as we lap last year's Portland terminal outage. Our CN-specific growth projects are advancing as expected. In Northeast BC, our growing frac sand market for natural gas drilling also produces propane for export via Prince Rupert. New frac sand terminals are expected to be announced in the coming months to grow the market even more.
 Partnership initiatives like the EMP program, Falcon Premium and Crowley service in the Mexico and access to Gulf Port will deliver intermodal growth in the second half and beyond. CN's new fuel terminal at our yard in Toronto has received its first cars and ramp-up is commencing in May. Construction took a little longer since some Phase 2 construction was advanced to minimize downtime later in the year. Both Phase 1 and 2 are now sold out.
 We also moved our first steel cars into our new transload in Flat Rock, Michigan, which is all truck to rail conversion. We've come through the first quarter of 2024 in great shape with excellent service for our customers and a strong pipeline of significant growth opportunities that are starting to deliver. 
 I want to recognize Remi who has spent the last few months getting up to speed with the great CN people across our network. He'll be ready, more than ready for our next quarterly call.  
 Over to you, Ghislain. 
Ghislain Houle: [Foreign Language] Turning to Slide 14. In the first quarter, we executed and delivered a financial performance in line with or maybe even a bit better than planned. Volumes in terms of RTMs were flat on a year-over-year basis, while our revenues were down roughly 1%. We delivered operating income of around $1.5 billion, 7% lower than last year, with a more winter-like operating ratio of 63.6% versus 61.5% last year, up 210 basis points.  
 The first quarter EPS was $1.72 versus $1.82 for the first quarter last year, down $0.10 or 5%. Recall that last year, we had a favorable fuel lag tailwind of around $0.10 of EPS. We are monitoring fuel prices very closely. OHD, which drives fuel surcharge revenue decreased by 17% versus last year, while our fuel prices driving our expense decreased only 6% year-over-year in Q1. 
 In terms of expenses, labor was 10% higher versus last year, driven by 3% higher average headcount and general wage increases. Fuel expense was more than $40 million lower than in the same period last year, mostly due to a 6% decrease in fuel prices that I just mentioned. 
 Our effective tax rate in the quarter was 24%,  which is a bit lower than the guidance we provided in January. This was mostly due to the excess tax benefit on incentive compensation booked in the first quarter. We had anticipated this benefit in the quarter, so we will expect our effective tax rate for the full year to be around 25%. 
 We generated around $530 million of free cash flow in Q1, about $65 million lower than last year, mainly due to higher capital expenditures, partly offset by higher net cash from operating activities.
 Under our current share repurchase program, which runs from February 1, 2024, to January 31, 2025, we have repurchased close to 3.5 million shares for almost $600 million as at the end of March. 
 Our leverage ratio increased to around 2.4x at the end of the first quarter. This increase is largely due to timing and reflects the atypical quarterly earnings trend in 2023. We expect the leverage ratio to decrease as we move through 2024 and earnings increased sequentially.
 Moving to Slide 15, let me provide some visibility to 2024. With economic sentiment on the macro environment improving sequentially, we continue to believe that the broad economy in 2024 will be more constructive than last year, with slightly positive industrial production growth and interest rates stabilizing. However, the environment remains quite volatile with continued monetary policy and geopolitical risks. Weak sectors particularly intermodal international and forest products continue to improve sequentially.
 We continue to assume that Canadian grain will come back to a 3-year average in the second half of the year. We have good visibility on our CN-specific growth initiatives that account for half of our mid-single-digit volume growth assumption in terms of RTMs, and these initiatives are diversified both from a commodity and geographic standpoint, and they are advancing per plan.
 Foreign exchange for the year continues to be around $0.75. Our WTI assumption is now in the range of USD 80 to USD 90 per barrel versus the previous range of USD 70 to USD 80 per barrel. With this in mind, we are confident that we will deliver 10% EPS growth in 2024 versus 2023. 
 So in conclusion, let me reiterate a few points. We continue to deliver strong operating and financial performance. Our customers continue to benefit from our excellent service. We are encouraged by the positive direction of the macro environment. End market demand in most of our segments, importantly, intermodal international and forest products continue to show sequential growth. 
 Our CN-specific growth initiatives are advancing and delivering per plan. We are committed to delivering operating leverage. We are confident in our EPS growth of around 10% this year versus 2023. 
 Let me pass it back to Tracy. 
Tracy Robinson: Thanks, Ghis. We're ready to take questions now. 
Operator: [Operator Instructions] Our first question comes from Steve Hansen from Raymond James. 
Steven Hansen: Look, I was hoping you could provide some additional color here on the international intermodal segment of late, seen some really good outsized growth there, but also seeing an increase in shipping length that looks like a distance halt. Just based upon your discussions with customers, what kind of visibility do you have on that sustaining through summer into the back half of the year? 
Doug MacDonald: Thanks, Steve, it's Doug. So we're seeing some great growth on the West Coast. Customers have really come back there after the strike last summer. We're seeing lots of growth in Vancouver, but we're also seeing it start to push up to Rupert. So that's working really well, and I think you can see that in the numbers. The customers are very confident that that's going to continue moving forward. They really like the service and the dwell time they're seeing from us.
 Now when you shift over to the East Coast, it's a little bit different story. They have more of an impact because of the Suez Canal, they're routing the boats around south of Africa and they come back up, which doesn't impact the Canadian business, but it does impact the U.S. business because they're going to buy a bunch of U.S. ports where they can offload that business there. So we're seeing a little bit down at Halifax, a little bit down at Montreal because of all that. And we're just hoping that, that will come back once that issue in the world gets cleared up. 
Operator: Our next question comes from Fadi Chamoun from BMO Capital Markets. 
Fadi Chamoun: Doug, congratulations on your retirement and thanks for all the insights and help over the years. My question is on pricing. You mentioned pricing ahead of inflation. What is inflation first, just to kind of help us benchmark what the pricing environment is like? And also, given kind of the strong demand we're seeing both on your network and your competitor network, is the pricing firming up? Do you expect that we could start to see some firming up in the pricing as we move through the year? 
Doug MacDonald: Okay. Well, thanks, Fadi. So overall, what we're seeing in pricing is we're still able to price above rail inflation, and I'll get to the second part of your question there. The only part we're starting to see obviously some pressure is in -- within the domestic intermodal section, which I think everyone would understand what the truck capacity issues that are out there today. There's a lot of surplus capacity. We're expecting that overall within North America, the decline as more and more shops, I'll say, go bankrupt and some of that capacity comes out of the market.  
 So that is where the only area is I think we're seeing some pressure. So with respect to that, when it comes to what we gauge, we still use the all-inclusive index less fuel for the AR is our major benchmark that we tell people for what our rail costs are. 
Operator: Our next question comes from Ken Hoexter from Bank of America. 
Ken Hoexter: I just want to -- I guess you're coming up against a comp against maybe the strikes and want to understand the CN-specific initiatives. So I think you said there's minimal economic growth in there in that mid-single digits. It sounded like maybe some of the CN specific issues were delayed. You mentioned a coal field, Doug. I think somebody mentioned the auto field was delayed, but Phase 1 and 2 were sold out. Just want to understand, does that impact the outlook on growth? Or are those coming back online? I just want to understand the CN-specific growth initiatives to meet that target. 
Doug MacDonald: Thanks, Ken. So everything is kind of running, I'll say, as per plan is the easiest way to say it. So we have seen a delay just in the one, I'll say, projects that we have ongoing for this year, right? So with respect to that, that's the facility we have in our Mac Yard for our Eastern fuels. And we pushed that back so we could actually add some construction and sell out Phase 2. So if we didn't do that, we would have to take more outage in Phase 2 later this year and into next year. We didn't want to do that. It was made more prudent economic sense to do it at the beginning. But with that, we actually got additional commitment from the customer. So that project is moving full steam ahead, and we will recoup those volumes.  
 With respect to the Valerie coal mine, we had very limited number of volumes into this year really was in the next couple of years. So what we're looking at is when does that permitting get done that gets done in the next couple of months, then they'll be getting that moving forward. So we'll be able to give you -- or Remi will be able to give you a great update that on the next call, actually. 
 So everything else seems to be running really well. I don't think we're going to see any other issues. And so the projects will deliver where we've said they will and the economy is doing okay. And I think Ghislain has talked to the community quite a bit about that. 
Operator: [indiscernible] TD Cowen, please go ahead. 
Cherilyn Radbourne: Doug, all our best to you in your retirement. I wonder if there's a way that you could help us frame how much the CN-specific growth opportunities added either volume or revenue in the quarter? And in terms of the relative importance of each that you're expecting for the year, are they basically listed in rank order of importance, the way that they're listed on Slide 11? 
Doug MacDonald: Thanks, Cherilyn. They're not listed in any order. We just kind of go through them. We don't really give like guidance per specific projects out there. We have given some specific updates as to where we expect them to be on the list that we gave at Investor Day last year. So I'm sure the team can probably help you out with that after the call and say, here's where we're on each single one, but it's a little much to go into right here. Thanks for your question. 
Operator: Next question comes from Ravi Shanker from Morgan Stanley. 
Ravi Shanker: So I think the tone of this call is surprisingly bullish in this environment, especially given what you've seen from other transportation companies that we've heard so far. Do you guys have like evidence or more confidence in the cycle inflection in the back half of the year that's giving you that confidence? Obviously, you spoke of the idiosyncratic catalyst as well. But obviously, you need a macro backdrop to be supportive as well. So just trying to get a sense of how confident you are kind of in that full year number and the environment that's going to power it? 
Tracy Robinson: Ravi, thanks for the question. Listen, we're mapping out a year -- when we put the 3-year guidance in front of you, we looked at industrial production that was about in the 2% range. Industrial production is turning more positive. It's not 2% yet. But we are following a number of those indicators that Ghislain spoke about. And it does give us some confidence in a lift in the underlying economy. That's 50% of our growth. The other 50% is the CN-specific growth initiatives that does is taking you through. We're watching it all pretty closely. And Ghis, do you have any other comments? 
Ghislain Houle: Yes. I think, Ravi, what makes us confident as well is that these CN-specific growth initiatives are very diversified from a commodity and from a geographic standpoint. So it's not a 1 home run type of thing. It's a lot of different singles. So if we're wrong on one of them on the negative side, we'll be more right on the positive for something else. So it's the law of compensating errors. 
 So the fact that it's a bunch of different projects, and we have great visibility on these as Doug just talked about, I think, makes us very confident that our volume -- we will deliver on our volumes. Thank you for the question. 
Operator: Our next question comes from Benoit Poirier from Desjardins Bank. 
Benoit Poirier: Yes. [Foreign Language] Doug, happy retirement and all the best. So one question. Obviously, you made some comments about the softness for domestic intermodal, but I was wondering if you could talk about whether there's a different dynamic at play in Canada, given the longer average length of all? And also, just in terms of head counts going through the remainder of the year, could you talk about your expectation in terms of headcount given the ramp-up in volume in the second half? 
Doug MacDonald: Okay. Thanks a lot, Benoit. So I'll address the intermodal specific numbers. So listen, within Canada, you're correct. We have a much longer length of haul than in the U.S. So there's a little bit added protection there, where we don't -- we do face pressure because if there's excess capacity, you can see the truckers are dropping the rates and they put pressure on our pricing. But so far, because of that length of haul, we've been able to hold our own pretty well. And there will be cases where we'll let go some market share. There will be cases where we're going to gain some market share, and that happens all the time.  
 So not too worried about that, and we feel it's also the business is going to come back right away that we've lost because as the trucking capacity diminishes across North America and in Canada, that will shift back. I'll say from the headcount perspective, I guess the team will be able to... 
Tracy Robinson: Pat, why don't you take the headcount question? 
Patrick Whitehead: Yes, I can take that one. So as we look at -- keep in mind that as we train T&E employees to take 6 to 9 months to have those folks ready in advance of the volume. So we will see our head count increase, but it will not be a one-to-one increase. We'll ramp up for the volume, but be a busy quarter at the training centers, but not a one-to-one increase. Thank you for the question. 
Operator: Our next question comes from Konark Gupta from Scotiabank. 
Konark Gupta: Congratulations Doug. Maybe just one question on one of the projects you guys highlighted last year at the Investor Day. The Milton project, I think, it seems like the court to overturn the federal government's decision to approve that project. Any thoughts on what are you expecting from that? Will that be delayed? Or will that be cancel them back to the drawing board? Any thoughts would be appreciated. 
Doug MacDonald: Thanks, Konark. So yes, it's a complicated issue, obviously. We have filed our appeal and we are -- we expect to have a decision on the stay that we've appealed for in the next couple of months. So at that point, we're not going to comment too much. We're going to wait for that to come back. And then if we're successful there, we will continue building. If we are not successful there, then we will have to decide how we move forward with that project, we are very dedicated to moving this project forward.  
 If we're going to grow the economy in Canada as well as in Southwestern Ontario, this project is critical. So we are -- we will have this run forward. Thanks for your question. 
Operator: Our next question comes from David Vernon from Bernstein. 
David Vernon: Doug, congratulations. I just wanted to figure out or just ask you if you could kind of help us understand coming out of 1Q where [indiscernible] RTMs we're still looking at mid-singles for the back half of the year, which is obviously going to have quite a bit of mix in it. Can you just help us understand from where you're looking at the numbers? Like where is the strength in the RTMs going to come I know you've got a lot more detail on the CN-specific growth initiatives and the impact of mix here. But I'm just getting a lot of questions about whether that mid-single-digit RTM number remains realistic? So if you could help us kind of understand that walk, that would be great. 
Doug MacDonald: Yes. So great question, David. So first of all, you are right. We were flat for the Q1, but our whole project and list was geared towards April and on. So as a good example, in April, we're 7% up in RTM so far this month. So we knew that was really going to start the pop. We have the comparables that are there from last year. So we're easily going to be able to tap some of them. So we're all set. We know there's going to be good growth in intermodal overseas, and that's what we've been seeing. It's a little bit lighter on domestic. We're seeing some other things pop in other areas. All of these are really just part of the economy as well as part of the projects, combine them all up, we're pretty confident that we are still going to be able to maintain our guidance. Thanks for the question. 
David Vernon: Okay. And then -- and just -- maybe just as a quick follow-up. [indiscernible] fuel up 5% in the quarter. How much of that is because last winter, there wasn't much of a winter? And how much of that is resourcing ahead of this expected volume growth? And how much of that is just natural cost creep in a weaker revenue quarter? 
Ghislain Houle: Yes. When you look at fuel, as I said, we're comping -- I talked about the fuel lag, positive lag last year versus no lag this year. When you look at the overall fuel situation in the first quarter, and you can look at it in the MD&A, it's all disclosed, but our fuel surcharge, as Doug mentioned it was down on a year-over-year basis by about $170 million while our fuel expense related just the price was down $30 million. So the fuel issue in the quarter was about $140 million of headwind or call it, $0.15 of EPS or 180 basis point of OR. So that's the fuel. And yes, we did consume, David, more fuel this year versus last year due to a harsher winter specifically in January. Thanks for the question. 
Operator: Our next question comes from Walter Spracklin from RBC Capital Markets. 
Walter Spracklin: Yes. So when I look back at your guidance that you issued when you reported your fourth quarter, I know there was some trepidation that perhaps it was a little bit too robust, maybe too optimistic, especially around the 5% volume and very encouraging given that you've kind of reiterated that -- there was a lot also mentioning about how with high single-digit revenue where you're only achieving 10% earnings. And I know Ghislain, since that you've been -- through your public remarks at various conferences, you've kind of hinted that perhaps there is some upside there if that volume growth does come in. 
 So I guess my question is, as you're now 1 quarter through the year or obviously a bit more than that here, how much -- where has things changed relative to your original guide, even though you're maintaining it. Do you feel a bit more comfortable about volume? Are you feeling more comfortable about price? Is margin coming in better or worse? If there's any indication as to the kind of comfort level you have around the guidance, I'd love to hear your thoughts on which areas are coming in a bit better or worse in each of those elements. 
Ghislain Houle: Thanks, Walter. So I would tell you that Q1, we delivered exactly as per plan. Even in my opening remarks, I said we did probably a little bit better than planned. So I think that -- and when you look -- now the volumes are coming in, in April, as Doug mentioned, 7% up on a year-over-year basis. I think at the end of the day, as we said, to get to our 10%, we can't just focus on 1 area. We need a little bit of price and Doug talked about that. We need that volume that we've talked about, and we need better operating, better operations from our guys here. And I call our guys to be a little bit here, sandbaggers, and that's my own opinion. 
 Share buyback is not that accretive for the current year, especially when you look at it from an active financing point of view, but it is helpful a little bit more in the out years because you get that compounding effect of having the shares out of circulation. So when you put all of this in, and I'm happy because when you -- we got out of the winter, Q1 is typically very noisy. As I said, we delivered per plan. So I think those growth opportunities are happening. I'm crossing my fingers that the economy holds up. We're not banking, as Tracy said, on a 2% were banking on a slightly positive economy, call it, 0.5% and I think that I'm getting -- I'm very comfortable that we can deliver and we will deliver our 10% EPS growth. 
Tracy Robinson: So let me just add to that, Walter, if I could. So as we look at volumes, you heard Derek and Pat talk about what we went through in the first quarter, but I think that we are more optimistic on the volume from an economic perspective. We are -- as Doug has outlined pretty much on plan on our and feeling very, very strongly about our CN-specific growth alternatives, our plans. Derek, it keeps reminding us that if you look at Q1, it's the best Q1, Derek, on operating metrics that we've had in the last... 
Ghislain Houle: 7 years since 2017. 
Tracy Robinson: In the last 7 years since 2017, with the exception of last year. So the railroad's running, the volumes are coming. And as we look at our plan going forward, we're feeling pretty good about our 10%. 
Operator: Our next question comes from Kevin Chiang from CIBC. 
Kevin Chiang: Best of luck in your retirement, Doug. Maybe I just want to get your sense -- on this morning, the Canadian Competition Bureau put out, I guess, a report on the Viterra-Bunge potential merger and potential anticompetitive effects. Just wondering how you're viewing that, I guess, potential combination. Does that have an impact on how you view a grain franchise? Does that have an impact on some of the CN-specific initiatives you've highlighted back at the Investor Day in terms of grain and fertilizer? 
Doug MacDonald: Okay. Thanks, Kevin. It's a great question. So we did participate within the -- transport candidate ask us for our opinion. Listen, we don't see much of a conflict from our standpoint between -- if it happens. But with respect to that, Viterra is  of our top customers, right? They are a top 10 customer. We move lots of grain for them, and we do it both to the -- all over North America, primarily West Coast, Vancouver but also to Rupert, to Montreal. So we're very happy with that.  
 We don't see as much of a conflict with Bunge at all. Bunge, we have very little business with. We do have some, but they're primarily moving other products with another carrier. So overall, when you look at that, we don't have a problem with the competition bureau or the combination of these 2 companies. So we'll effectively, I'll say, stay out of it. It won't really have an issue on our markets today. 
 Now what they are looking at doing is building some canola meal plants or other crush plants, so that will eventually bring more business online that we think they're both in a good position to. One plant would be in the Regina market and they're looking at some others that are both also on CN's line. So it may delay these future plants, but none of these were currently in the plan today that we have for 2024 to 2026. So we shouldn't see any issues there. Thanks for the question. 
Operator: Our next question comes from Scott Group from Wolfe Research. 
Scott Group: So Ghislain, it looks like we can often see a 4 to 5 points of OR improvement from 1Q to 2Q. Is that right that we should be sub-60% this quarter? And then I guess, I'm just wondering how the labor negotiation impacts how you're thinking about Q2 in the year? Maybe, Tracy, just some thoughts like on the scenarios, what's the upside potential if we get hourly deals? What's the risk that inflation ends up higher than what you're thinking? Just any thoughts there. 
Tracy Robinson: Ghis, why don't you start off and I'll take it from there. 
Ghislain Houle: So thanks, Scott. Listen, we don't give guidance on OR on a quarterly basis. But as you know, if you look historically, from a seasonality standpoint, Q1 has been the quarter that has the highest OR. Q3 has been typically the  that has the lowest and then Q2 is in between and Q2 and Q4 is more or less in between depending on how you finished Q1 getting into the spring and in Q4 is how you get into the winter in October, November and December. So definitely, from an historical standpoint, you would assume that, that OR in Q2 would be better than Q1. 
Tracy Robinson: And from a labor perspective, we're working very hard at -- and still in discussions with the TCRCs. We would like a negotiated agreement with them and we believe that, that is possible. The proposal that we have in front of them now is an hourly agreement. We don't yet have an agreement with them, but it's an hourly agreement. It would have economic benefits, of course, for both of us. For our employees, that would be predictable scheduling, 2 consecutive days off and increased earnings for the company. The benefits would fall largely in improvements in availability and productivity. So I think trains awaiting crews, recruits, deadheads, those types of things. So we're in discussion with them. And I think given that we are in discussion with them right now, until negotiations, it would be inappropriate to comment much further than that, Scott. Thanks for the question. 
Operator: Our next question comes from Tom Wadewitz from UBS. 
Thomas Wadewitz: Doug, congratulations. I hope you enjoy the retirement as well. I guess 2 questions for you. I think you talked about some new or -- I don't know, I'll call it Part A, Part B. Just on the bulk side, you said, I think, some new business on crude by rail. I don't know if you have any color on how big that is or what that is? And then coal, you were kind of one is getting -- Canadian is getting better. U.S. stays weak. What's the kind of net coal view within that? Is coal going to be -- overall volume is going to be flat or still down, but down less? 
Doug MacDonald: Okay. Well, thanks, Tom. So on the crude by rail, so we have a natural crude heavy oil franchise that moves down to the U.S. We've been working with a couple of our customers to create a new terminal that's on CN. So rather than having to worry about moving this product offline to other railways, we've been able to work with our customer base to create a new crude receiving terminal for heavy oil down in the Baton Rouge market and that is great because we're able to cycle those sets from the Alberta market down there and back a lot faster.  
 So we were able to turn our customers' assets and move Canadian oil to the U.S. market as fast as anybody has ever been able to do. So we expect that to continue on moving forward with other opportunities there as well. 
 On the coal market, we're expecting obviously Canadian coal to pick up only because we had a couple of mines that were down earlier in Q1. Those mines are now back running properly. So we expect to see very comparable numbers moving forward on the Canadian coal side. 
 The U.S. coal side is more market dependent. So our U.S. coal franchise is mostly export through the Gulf Coast. That coal moves typically over to Europe. And that market is tough right now because they use it for blending with Russian coal and they're not taking Russian coal. So it's a complex, I'll say, a blending operation. But our customers, at the same time, are looking at new opportunities in different countries around Asia as well as in Europe. So we'll see what happens there, and we'll only be able to give an update once they're able to convince their customers to take that coal market. 
 So I think that covers both topics. Thanks for the question. 
Thomas Wadewitz: Is the crude new volume or extended length of haul? 
Doug MacDonald: Some of it -- most of it is extended length of haul, but there will be some new volume in there. 
Operator: Our next question comes from David Zazula from Barclays. 
David Zazula: Doug, congrats on a great period of service. I guess any time I've left anywhere I've always had some undone items. I was wondering what your undone items that you never really got to and would you be excited to turn it over to Remi for him to get started on? 
Doug MacDonald: Well, thanks very much. So there's always lots of undone items like you've said. But listen, my key goal was to help find a great replacement, and that's one goal heavily accomplished. So there's nothing much we can say about that. You're going to love having Remi on these calls, and the rest of the team will straighten them out if it's not really working. So -- but it's not like he's a stranger. He's been doing this in some of his other jobs. So he is going to be awesome.  
 With respect to that, there's always tons of work to do, and I work with the team around that. You always want to be able to grow and help your customers grow. So we're always trying to find new ways to work with our customers to create either new products or even get deeper into their supply chains. And we accomplish that on a regular basis, but there's always the next one and the next one and the next one. And that's really what I haven't been able to get done. You can't get them all done. It's just impossible because there's always something else to do.
 So I'm looking forward to turning that over to Remi and he'll be able to do that and work with the team here on creating those products that the customers really need to drive additional growth at CN. 
Operator: Our next question comes from Jon Chappell from Evercore. 
Jonathan Chappell: On the productivity front, there's a lot of focus on headcount, but your purchase services down 4% year-over-year in a flat volume environment. Is that -- and with the winter that you actually had this year versus last year. Is that all kind of productivity? And as we think about that major cost line item, we kind of extrapolate a much lower run rate going forward? Or is there something kind of out of the ordinary in the first quarter that made that cost item come down despite the flat volumes? 
Tracy Robinson: I'll hand that one over to Ghislain. 
Ghislain Houle: Yes. I mean, when you look at the year-over-year, you're right, our purchasing services material were down 4%. A lot of it was a little bit of less snow clearing, a little bit of less outsourced services and a little bit of less maintenance. I mean -- but these are not big variants. But you're right, when you add them up, we're down 4%. And those are mainly the items that make it up. Thanks for the question, Jon. 
Jonathan Chappell: Any reason to extrapolate that as a lower run rate then going forward? Or are you saying it's basically just kind of a one tiny decline? 
Ghislain Houle: I would not assume that this would -- that will deliver a lower run rate in the following quarters. 
Operator: Our next question comes from Brian Ossenbeck from JPMorgan. 
Brian Ossenbeck: Doug, 2 quick ones for you. One on the Canadian grain pricing on the regulated side. You had think 2, 12% in a row. I don't know if you'd expect something similar just based on how that formula works, but we're going to get that any day now. So any way to level set what we should expect for the coming year? And then just maybe some brief thoughts on the pipeline as you look further out from the CN-specific growth opportunities. Obviously, you outlined it at the Investor Day a little while ago, I have been a few moving pieces, but any other themes you've seen since then in terms of what's coming to come out or maybe accelerated or slowed down as you look on a multiyear view? 
Doug MacDonald: Okay. So thanks, Brian. So on the Canadian grain pricing, it's been 1 year at 12%. And so that's the current year we're in. The prior year of memory serves me right, it was more than that 4% to 5%. So -- but it's still all good numbers. So we're going to do very well on Canadian grain this year. So we continue to have a strong grain market even into the spring. So it's going extremely well. And we expect that to continue on moving forward actually through Q2 for at least the next month or so. So we're very happy with the overall grain this year.  
 Now we've also been able to get the pricing with there. So we should finish very well on grain pricing. For next year, we -- listen, it's a little bit of a black box within the CTA and Transport Canada. So when they come back, they consider a lot of different things. And then out comes the number. So we usually budget just in that 3% range and just try and move forward from there. If we're surprised on the upside grade, if we're surprised on the downside, we'll adjust accordingly. So we'll all be surprised when the number comes out in a week or 2. 
 Now with respect to some of the other pipeline of growth opportunities, we've done obviously very well of what you've seen. Some of the things we've really been delivering on is on the refined products and on the LPGs. So that's one that's really started to add up. We obviously got the long-term agreement with AltaGas, which we announced before but we're seeing additional growth head towards both the West Coast for export as well as we're still servicing the domestic market really, really well. So we continue to see that and refined products has actually been the surprise this year. The number is up quite a bit.  
 Now we're moving up to different markets. It was moving export during the winter, and we're expecting to see more and more domestic market during the rest of this year. So we're very happy with all that. And then that ties in nicely with our new facility in Mac Yard as well, which would be above and beyond that. Thanks for your question, Brian. 
Operator: Our last question will come from Justin Long from Stephens. 
Justin Long: So I know the CapEx guidance didn't change overall, but I was wondering if you could provide any update on your locomotive plans for this year as it relates to both new locomotives and modernizations? And in addition to that, the CARB has proposed some regulations in the U.S. I know the EPA is looking at those currently. Just curious if you have any thoughts around what's been proposed and how that could potentially impact your locomotive strategy going forward if passed? 
Patrick Whitehead: So I'll take that one. This is Pat Whitehead. So our plan is that we continue to modernize our fleet. We will continue to work with Wabtec and we have some progress rail modernization as well. That's been our chosen path. That's the most reliable locomotive in the industry currently, and we will continue to invest in that. We are working with both OEMs and exploring other technologies for the locomotive of the future. And we'll continue down that path, and we'll continue to have -- we purchased donors last year that we could convert for our modernization program, and we will be converting those between this year and next. 
Tracy Robinson: And just let me add a little bit to that as we finish up today. We are watching car very closely and where that is going to go with the rest of the industry. As an industry, this is something that we've got to get our head around. We have made some investments ourselves on electric battery, electric locomotive and on a hybrid locomotive. But clearly, as we go forward, this is something the industry will collaborate on more fully and decide on the ultimate path. It's an important effort for us and for the industry, and we'll keep you guys in the loop as we go along. Thanks so much for the question. 
 So we'll wrap it up today. And as we do that, I'll reiterate the plain is working clearly. You guys' mind is on growth. Thanks for giving Doug such a good workout on his last call. Our minds on growth as well, and we're feeling very optimistic around what we see ahead of us. We look forward to talking again with you in a few months. Thank you. 
Operator: The conference call has now ended. Thank you for your participation. You may now disconnect your lines.